Operator: Welcome to the EZCORP third quarter earnings call. (Operator Instructions) I will now turn the call over to Mr. Joe Rotunda.
Joseph L. Rotunda: Welcome and thank you all for joining us today. With me on the call is Dan Tonissen, our Chief Financial Officer. I’m going to begin with a high level overview of the quarter’s performance, including some commentary on each of the business segments. I’ll also bring you up to date on our store development program thus far and for the balance of the year. Dan will follow and provide more detail with our financial statements. We’ll continue with an update on the final quarter of the year before providing an opportunity for questions. Overall, quarter three was a great quarter for EZCORP. It’s also the 24th consecutive quarter of year on year earnings improvement for the company. We grew our net income to $10.8 million, an improvement of $4 million or 60% over the same period a year ago. On a diluted earnings per share basis, we grew to $0.25 from last year’s $0.16. That $0.25 compares favorably to the guidance we provided in April which was $0.21 and is dead on with our July 8 update. It’s noteworthy that these results are after a $0.02 per share impact of two non-recurring charges, the closing of 11 EZ Money stores in Florida, and the settlement of a lawsuit with the Texas Attorney General. Before we look at the segment results, I think it’s appropriate to make a comment about the macro economic environment. A new element was introduced during this quarter when the government began issuing economic stimulus checks. These began in May and they continued through the middle of this month. These stimulus checks have been both good and bad for US business. The adverse impact has been slightly lower than expected seasonal demand in new homes in both of our domestic businesses. The upside has been a favorable impact on retail sales demand and low redemptions in pawn as well as improvements in bad debt in payday lending. As I walk through each segment, I think you’ll see that the moving parts complement one another in such a manner that our businesses are favorably impacted in some manner when external factors move in either direction. You will also note that, once again, our growth in earnings reflected a solid contribution from all business segments. I’m going to begin with our largest segment, US pawn. From a net revenue perspective, our domestic pawn operations grew by 25% over this quarter last year. This is a healthy acceleration of the 19% growth through the first two quarters of the year. The major difference is much stronger sales and the result of gross profit it produced. The sales gross profit, without scrap, increased 12% over last year as compared to 5% for the first half of the year. Our scrap gross profit grew by $2.7 million and that’s pretty close to the average that we had for the prior two quarters, and our pawn service charges continued as a primary driver with 26% growth over last year. I should point out that even with the increased liquidity that the stimulus checks provided our customers, we still had 10% same-store loan growth in the quarter. However, that’s 6 percentage points less than the first half of the year. From an expense perspective, US pawn had a relatively modest increase, most of it in labor and performance related bonuses. This growth of outstanding operating income dollars which grew by 47% over last year and the result in operating income margin grew to 44% from 28% a year ago. All in all, it was an excellent quarter that was driven by the US pawn operations team. Now for a look at our second segment, EZ Money Payday Loans. From a net revenue perspective, defined as fees after bad debt, we grew by 33% over the same quarter last year. Let me frame this against what happened back then. In this quarter last year, we relaxed underwriting coming out of the tax season. Our intent was to maximize our payday loan volume during that peak period of natural demand. The result was extraordinary loan growth with fees up more than 50%. However, bad debt grew even faster. The net revenue result was growth of 40% during this quarter last year. Now back to this year. We grew those net revenues by 33% this year. Our fee growth was much less, only 17% compared to more than 50% a year ago. This slower fee growth, I believe, is primarily reflective of two factors. The first is tighter underwriting criteria today than we had in place last year. The other is the impact of stimulus checks which averaged that lower fee growth this year is an excellent result in bad debt. Net bad debt dollars were under [inaudible] result in bad debt as a percent of fees was only 27% this year. That 27% bad debt number is the lowest level during the June quarter that we’ve had since we opened our first EZ Money store 6 years ago. It reflects not only a benefit from the stimulus checks but also incredible execution by a field organization in driving initial defaults to the lowest level in years. We’re also seeing a benefit of improved processes, productivity, and talent in our central collections group. Looking forward to the fourth quarter, we believe bad debt will be in line with last year’s seasonal level. Taking the fees after bad debt down to the operating income line, our EZ Money segment grew by 36% over last year. It’s also noteworthy that these results are after the Florida exit costs, $500,000 of which was recorded as period expense. When we exclude that expense, EZ Money’s operating income grew by 44% over last year. I’m going to turn now to an update on store openings and closings as I segue between EZ Money and Empeño Fácil. We periodically evaluate our existing stores and selectively lose or relocate units that don’t meet our performance expectations. During the quarter we closed 3 EZ Money stores, all in Colorado, and we merged those loans into nearby stores. That brings the total to 8 EZ Money stores closed this year other than Florida and we planned 3 more closings in the fourth quarter. During the same 9 month period we also opened 47 new EZ Money stores and we expect to open [inaudible] revised guidance. Shifting now to our third segment, Empeño Fácil, and sticking with store development, we also opened 4 new pawn shops in Mexico during the quarter. We now have 30 stores operating in Mexico. The 4 Greenfield pawn shops that was our initial entry into the country last year, our 20 store acquisition earlier in this fiscal year, and an additional 6 Greenfield locations that we’ve opened since December. We also have 6 more new pawn shops scheduled and in process for our fourth quarter in Mexico. Empeño Fácil’s gross revenues during the quarter were approximately $3.1 million, the result of 4 wall operating income is just over $900,000 and that’s a healthy operating income margin of 47% of net revenues. Our Mexico pawn team continues to do an excellent job in profitably growing the business and continuing to enhance our site selection and store opening process. The overall results of this segment fueled our confidence in the potential that Mexico affords us in the pawn industry and we have high expectations for this segment as we move forward. We often refer to Albemarle and Bond as our fourth segment. During the quarter, our equity interest in A&B provided us with $1 million in pre-tax contribution which is an improvement of x38% over last year. Dan will discuss the current market valuation during his remarks and with that I now turn the call over to Dan for a deeper look at the financials.
Daniel N. Tonissen: Joe gave you an overview of some of the numbers and now I’ll give you a little more detail, starting with the consolidated statement of operations for the quarter which is on Page 3 of our earnings announcement. For the quarter, our pawn net revenues comprised sales growth profit in lines 2 and 3 less line 11. Pawn service charges, line 4, and other revenues, line 6, increased $10.8 million or 31% to $45.4 million. Merchandise sales, line 2, increased $5.1 million or 17% to $35.7 million. Same-store sales for the quarter increased 6%. With margins unchanged from the prior year period, merchandise gross profit, line 2 minus line 9, increased $2.2 million or 17% to $15 million. Scrap gross profit, line 3, less line 10, increased $2.8 million to $7.2 million. Higher gold values net of higher costs and more volume delivered the increase in scrap gross profit. During the quarter we scrapped approximately 1.3 million grams of gold jewelry, an increase of roughly 13% from the prior year quarter. Proceeds per gram increased 35%, a little better than what happened in the gold market during the quarter [inaudible] gram increased 24% to $8.23 due to increases in gold loan values and what we paid to purchase gold. During the current quarter we realized approximately $600,000 in proceeds on the sale of loose diamonds compared to $700,000 in the prior year quarter. These proceeds are included in jewelry scrapping sales, line 3. We continue to forward contract our gold scrapping and currently have our estimated September quarter quantities locked at around $945 per ounce, which looks pretty good relative to the current gold market. For the quarter we turned our inventory 3.4 times, the same as the prior year quarter. Inventory levels per ending store increased to $122,000 at the end of June compared to $113,000 a year ago. Pawn service charge revenues, line 4, increased approximately $5.7 million or 34% to $22.7 million. Included in the increase is approximately $1.1 million from the acquired Jumping Jack Cash stores and $1.3 million from our Mexico pawn operations. The balance of the increase is due to the benefit of higher loan values in gold jewelry and same-store loan growth. Annualized yields on our pawn loan balance were 144% in the quarter compared to 136% for the prior year. Our ending pawn loan balance was up 17% from the prior year, 10% on a same-store basis. For the quarter, our signature loan contribution, line 5 less line 15, improved 34% to $22.7 million. The benefit of a 16% increase in signature loan fee revenue was compounded by a 16% decrease in signature loan bad debt, line 15. Included in our bad debt expense is a charge of approximately $300,000 related to exiting the credit services business in Florida. Consolidated signature loan bad debt expense, line 15, measured as a percent of signature loan fee revenues, line 5, decreased to 27% from 38% for the prior year quarter. Looking at bad debt levels relative to loans originated in the quarter, our net defaulted principal as a percent of loans originated came in at 5% compared to 6.2% for the prior year quarter. Loan originations for the quarter were up 13% to $159.8 million. After higher levels of operations expense, line 14, administrative expense, line 16, and depreciation and amortization, line 17, operating income increased 78% to $16.6 million. Increases in operations expense and depreciation amortization are primarily due to acquisitions and new store openings. The increase in administrative expense is primarily due to the $600,000 settlement with the Texas Attorney General, staffing increases to support our growth both in the US and Mexico, higher professional fees, and other inflationary increases. Operating income margins as a percent of net revenues improved 6.5 percentage points to 22% due to lower levels of bad debt, margin improvement in our US pawn operation, and the addition of high margin operating income in our Mexico pawn operation. After higher levels of equity interest and the income of Albemarle and Bond, lower net interest income and a 37.7% tax provision, net income increased 60% to $10.8 million or $0.25 per share. Now if you turn to Page 6 of our earnings announcement, I’ll make a couple of comments on our segment results for the quarter starting with our US EZ Pawn operation in the left column. US EZ Pawn store level operating income, line 15, increased 47% to $19.5 million. This strong performance is the net result of a 25% increase in net revenues, line 9, and a 13% increase in EZ Pawn operations expense, line 12. Store level operating income margins for our US EZ Pawn operations improved 6 percentage points to roughly 44% of net revenues. The 15 former Jumping Jack Cash stores generated store level operating income of approximately $800,000 in the quarter. This is included in our US EZ Pawn operations. For the couple of weeks these stores were included in the 2007 period, they contributed approximately $100,000 of store level operating income. Moving over to the next column to the right, our Mexico pawn operation generated store level operating income of just over $900,000 and you see this on line 15. Store level opera ting income margins in our Mexico stores were a strong 47% of net revenues with one-third of these stores less than two years old. Moving over to the third column, our EZ Money store level operating income, line 15, improved 36% to $9.1 million. The benefit of a 17% increase in signature loan fees, line 4, was amplified by a 13% increase in signature loan bad debt, line 13. The primary reason for the increase in EZ Money operations expense was the 71 net new locations opened in the last 12 months. Operating income margins for our EZ Money operation improved 5 percentage points to 30% of EZ Money net revenues, line 9, due to the lower levels of bad debt. For the quarter, our US and Mexico pawn segments made up approximately 69% of our consolidated store level operating income, line 15, with our EZ Money segment making up the balance of 31%. Now a few comments on the balance sheet if you’ll turn to page 5 of the earnings announcement. You can see that we have approximately $29.8 million in cash, line 3, on our balance sheet, and roughly $5.3 million of this is operating cash. Included in the cash usage in the quarter is $1.2 million of growth CapEx for new EZ Money and Mexico locations and $2.2 million of maintenance cap dollars. Not included in our balance sheet is $21.9 million in short term loans and $500,000 of installment loans, both brokered with unaffiliated lenders. These brokered loans increased 4% in the last 12 months. Our investment in Albemarle and Bond or A&B is carried on our balance sheet as $37.2 million and you can see this on line 14. Using today’s closing price on A&B of 180 pence, an exchange rate of $1.98 per pound are 16.3 million shares would have a market value of just under $58.1 million. This represents approximately $0.50 per share in unrecognized book value. Finally you see on lines 35 and 36 that we ended the quarter with 324 EZ Pawn locations, including 30 in Mexico, and 461 EZ Money locations, 6 of which are managed by our EZ Pawn operation. During the quarter we opened 4 Mexico pawn shop locations and 13 EZ Money locations. Also during the quarter we closed 14 EZ Money locations, 11 in Florida and 3 in Colorado. Now let me turn the call back over to Joe.
Joseph L. Rotunda: First let me take a moment to talk about the Value Pawn acquisition. We now have an expanded $120 million credit agreement in place pending the closing of the acquisition and we plan to close the transaction in early August here in Austin pending the favorable outcome of the value shareholder meeting. In our fourth quarter, we anticipate a benefit of approximately $0.01 in diluted earnings per share and will discuss the anticipated earnings benefit for fiscal year 2009 during out quarter four earnings call that will be in early November. Guidance for our fourth quarter and the year remains unchanged from our pre-announcement two weeks ago. We expect $0.35 earnings per share in fourth quarter and $1.19 for the year. This represents a 35% increase in earnings for both the fourth quarter and for fiscal year 2008. That concludes our prepared remarks and I pause now for Dan to cover the Safe Harbor, then we’ll open up the call to questions.
Daniel N. Tonissen: This conference call and earnings announcement contains certain forward-looking statements regarding EZCORP’s expected performance for future periods, including but not limited to new store expansion, anticipated benefits of acquisitions, and expected future earnings. Actual results for these periods may materially differ from these statements. Such forward-looking statements involve risks and uncertainties such as changing market conditions and the overall economy in the industry, consumer demand for the company’s products and services, actions of third parties who offer services and products, and the company’s locations, changes in the regulatory environment, and other factors periodically discussed in the company’s annual, quarterly, and other reports filed with the Securities and Exchange Commission. We will now open the conference call to questions.
Operator:  (Operator Instructions) Your first question comes from Dennis Telzrow from Stephens, Inc.
Dennis Telzrow - Stephen Inc.: Joe, I know you may not want to put numbers on this, but obviously next year’s store growth I can assume that you’re working to sort of uptick the Mexico number and moderate the payday number. Is that a fair sort of trend expectation?
Joseph L. Rotunda: I would say that is appropriate, yes. We see tremendous potential in Mexico as we’ve spoken about it for the last several quarters and we’re going to continue to gear up. The greater the base of stores, the easier it is for us to be able to open new stores because we’re able to generate inventory to seed the new stores and that’s extremely important in a pawn operation. At the same time we’re going to look at filling in and enhancing the presence in the states that we’re in today in the US in EZ Money.
Dennis Telzrow - Stephen Inc.: And I know you’ve talked about Canada but the pace of regulatory change up there is about at a glacial pace so I assume you’re just going to bide your time until those things evolve?
Joseph L. Rotunda: We’re going to continue to watch it and we’re going to help that Manitoba isn’t indicative of what’s going to happen in the other provinces.
Daniel N. Tonissen: Okay, thank you.
Operator: Your next question comes from John Ro wan from Sidoti and Company.
John Rowan - Sidoti & Company: If you would just go over the credit agreement that you have in place for the acquisition. You said it was $120 million but can you give us more detail? Is it a revolver and what’s the rate that you’re going to pay on it?
Daniel N. Tonissen: There’s a layer that would be term debt and I believe the term of that is 4 years and the balance of it would be revolver and John, just off the top of my head, I think it’s a 30/90 split and then the rate that we would pay on it would be, if the leverage ratio we’re anticipating post-acquisition would be about 175 over LIBOR.
John Rowan - Sidoti & Company: Over the 30 day LIBOR rate?
Daniel N. Tonissen: Yes.
John Rowan - Sidoti & Company: And the 30/90 split, 30 is the term or is 30 the revolver?
Daniel N. Tonissen: The term.
John Rowan - Sidoti & Company: And that’s a 4 year term, okay. Let’s see, after the acquisition with the debt, you guys said you’re going to have about $72 million of debt post-acquisition. Would you look to pay that off next year or pay part of it off?
Daniel N. Tonissen: Yes, barring any other transactions that we may do. We could put a pretty good debt in that $70 million.
John Rowan - Sidoti & Company: Okay, and just to make sure I have it right, you had a $300,000 one-time charge in the bad debt expense and the $600,000 settlement was in the administrative expense line, right?
Joseph L. Rotunda: Yes, actually the exiting the stores in Florida, the total is about $700,000. $300,000 of that would hit the bad debt line. $200,000 is hitting the loss and disposal of assets, and then we backed out the accrued fee receivables on the loans to Florida and that’s about $150,000 roughly up in the fee revenues, and then there’s a modest charge in operating expense related to other closing costs for a total of about $700,000 related to closing the 11 stores in Florida..
John Rowan - Sidoti & Company: Do you know about how much cash is in those stores in Florida?
Joseph L. Rotunda: How much cash?
John Rowan - Sidoti & Company: Yes.
Joseph L. Rotunda: I’m no t sure I understand the question.
John Rowan - Sidoti & Company: I’m just trying to understand, obviously your cash balance is going to have to come up when you make the acquisition, I’m just trying to understand if it’s a significant amount.
Joseph L. Rotunda: The 11 stores would not be material if that’s --
John Rowan - Sidoti & Company: No, I meant the value acquisition.
Joseph L. Rotunda: Broadly, with let’s just say a $110 million purchase price, your total consideration including expenses, we anticipate that let’s just say that $20 million of that would be [inaudible] that would draw down the credit facility.
John Rowan - Sidoti & Company: Okay, and just one last question. Can you just give me the CapEx numbers again?
Joseph L. Rotunda: I think it was a total of about $3.5 million. $1.2 million was growth and $2.2 million was maintenance.
John Rowan - Sidoti & Company: Great, thanks a lot.
Operator: Your next question comes from Andrew Moore from B. Riley.
Andrew Moore- B. Riley: I don’t think you guys have FY ’09 guidance out there, but just at a high level, could you talk a little bit about what you see the split of pawn versus payday revenues is next year as well as kind of an operating income line?
Joseph L. Rotunda: With the value acquisition, I just mentioned a minute ago there was roughly a 69/31 split at the operating income line. I would suspect that that’s going to shift 7 or 8 points into the high 70s.
Andrew Moore- B. Riley: Okay, good enough, thank you.
Operator: Your next question comes from Liz Pierce from Roth Capital Partners.
Liz Pierce - Roth Capital Partners: Congratulations guys, nice quarter. I just had some housekeeping things. I couldn’t write fast enough. Could you just go over the closings again? It was 3 in this quarter, 8 year to date, and then 3 more, is that right?
Joseph L. Rotunda: That’s correct. Plus the 11 in Florida.
Liz Pierce - Roth Capital Partners: Okay, right and I know you don’t want to talk about next year but should we think that this could be a natural kind of cadence of store closings over the next few years?
Joseph L. Rotunda: Without Florida it’s a possibility. What we would prefer to do is to relocate the site to one that is more beneficial to the business. Our intent is not to reduce the number of sites we have out there but just to insure or maximize the productivity of the locations that we do have.
Liz Pierce - Roth Capital Partners: Okay, so this is not an effort to reduce the fleet size, this is just to improve productivity?
Joseph L. Rotunda: That’s right. We opened our first store in July of 2003 and over that time we’ve closed 1 or 2 here and there, and we’re getting to the point now where we have a convergence of leases expiring to allow us the opportunity then to evaluate each of the locations, whether we want to move forward with them or not. In some cases we also have the ability then to plan as we’re nearing the end of a lease and opening somewhere near that store. Frequently or occasionally what we’ve found with these is that we’re able to merge the agreements to maintain, we hope, a high level. When we release the information our plans for fiscal year 2009 next year then we’ll go through in detail the store openings by individual segment, our plans for the year, and we’ll give you some indication then of growth by segment as well. Of course we’ll give you earnings guidance for the year at that time.
Liz Pierce - Roth Capital Partners: Right, and then the loose diamonds proceeds, how much was that?
Joseph L. Rotunda: It was about $600,000 this year versus $700,000 last year.
Liz Pierce - Roth Capital Partners: Okay, and then on the merchandise sales between merchandise and scrap, the $17.9 million, should I just assume a comparable amount was in for Mexico, I think in the second quarter it was about $200,000? I’m trying to sort that out. I know you release it in the Q.
Joseph L. Rotunda: Mexico you’re going to see there are scrapings at lower levels than in the States and part of the reason –
Liz Pierce - Roth Capital Partners: $100,000? I’m just trying to look at the split on that $17.9 million for modeling purposes.
Joseph L. Rotunda: About $100,000 in net proceeds as I recall.
Liz Pierce - Roth Capital Partners: $100,000? Okay. You know what, I think that’s it, at least for the next 5 minutes.
Operator: At this time I show no further questions.
Joseph L. Rotunda: Okay, well once again we want to express our appreciation for your continued interest and support of EZCORP and we look forward to talking to you then next quarter.